Operator: Welcome to CIT’s third quarter 2008 earnings call.  (Operator Instructions) Participating in today’s call from the company are Jeff Peek, Chairman and Chief Executive Officer, Joe Leone, Vice Chairman and Chief Financial Officer, Alex Mason, President and Chief Operating Officer, and Ken Brause, Executive Vice President of Investor Relations. I would now like to turn the call over to Ken Brause, Executive Vice President of Investor Relations.
Kenneth A. Brause: Our call today will be hosted by Jeff Peek, our Chairman and CEO, Joe Leone, our CFO, and Alex Mason, our President and Chief Operating Officer. Let me mention two items before we get started today.  First, following the formal remarks we’ll have a Q&A session.  We ask that you limit yourself to one question and then return to the queue if you have additional questions.  We will do our best to answer as many questions as possible in the allotted time. Second, elements of this call are forward-looking in nature and may involve risks, uncertainties and contingencies that may cause actual results to differ materially from those anticipated.  Any forward-looking statements relate only to the time and date of this call.  We disclaim any duty to update these statements based on new information, future events or otherwise.  For information about risk factors relating to the business please refer to our SEC reports. Any references to certain non-GAAP financial measures are meant to provide meaningful insight and are reconciled with GAAP in the financial tables accompanying our press release.  For more information on CIT please visit the Investor Relations section of our website at www.cit.com. With that it’s my pleasure to hand the call over to Jeff Peek.
Jeffrey M. Peek: Welcome to our third quarter conference call.  Today I will update you on a number of strategic issues and the results for the quarter, Alex will provide his thoughts on the performance of our commercial finance business units, and Joe will review our liquidity position and consolidated financial results.  Then we’ll be very happy to take your questions. I think we can all agree these are unprecedented times, challenging for you and challenging for us.  But here are some key points to keep in mind about CIT.  We remain very liquid with a plan to meet at least 12 months of obligations without access to the unsecured bond markets.  Our balance sheet is strong.  Our tangible capital to managed asset ratio improved 9.2% this quarter and it’s almost 11% if you exclude our $12 billion of US government guaranteed student loans. During the quarter we increased our reserves for credit losses by $75 million as the economy has clearly deteriorated, and we continue to work hard to maintain our core commercial franchises - corporate finance, vendor finance, trade and transportation finance - so that they are poised to fill the competitive void and grow earnings when conditions improve. I think the key to viability and success in this environment is to be proactive and decisive, and I believe we’ve demonstrated both of those traits over the past several months.  We raised capital when we saw the window in April.  We sold assets late last year and throughout this year, including our entire subprime mortgage portfolio in order to shrink the balance sheet and control risks.  We entered into a long-term funding relationship with Goldman Sachs and are in the process of finalizing another such relationship with Wells Fargo. Our critical priorities in operating the company have been clear:  Liquidity, balance sheet management and credit underwriting.  These priorities begin at top and are known throughout CIT. Starting with liquidity, I’m extremely pleased with the progress we’ve made both in renewing existing facilities and raising new liquidity.  We have generated over $11 billion of incremental liquidity since we drew the bank line in March.  In August we prepaid the $2.1 billion of bank borrowings that were due this month and we have also bought back $250 million of our short-dated debt at a discount.  We successfully renewed $6 billion of secured facility that were due to expire in the third quarter, which helped finance both our vendor finance business and our liquidating student loan portfolio. These actions combined with other funding initiatives led us to retain our rail leasing unit, a great business that we had considered selling solely to generate liquidity. We’ve also been working hard to manage the balance sheet.  In fact even with some seasonal growth in trade finance, managed assets declined $0.5 billion this quarter.  We have delevered the balance sheet as a result of the capital raise and we will continue to pay off maturing debt and to buy back bonds at a discount.  In short, we have been managing for cash as we strive to find the right balance between serving our clients and preserving our franchise while enhancing liquidity. We have required each business to identify and execute a funding plan that does not rely upon the capital markets.  Nearly half of corporate finance’s new loans were originated through CIT Bank this quarter.  Transportation finance is using the ECA facility for financing all new deliveries through 2009.  Both vendor and trade finance are self-financing their new volume through cash flow from operations. However, as a result of the events of the past few weeks we are more actively managing new business originations with tightened underwriting standards and an emphasis on generating liquidity while continuing to service the needs of our most important clients.  Specifically new business volume was down $1 billion from the second quarter from $4.9 billion to $3.9 billion.  Looking forward we anticipate continuing declines in origination volumes as competitors pull back and industry consolidation shrinks the number of providers.  Now clearly if the government programs work and liquidity returns to these markets, we will re-examine this approach. Our third priority has been credit.  When I last spoke to you at the Lehman conference about six weeks ago, I provided our credit loss expectations based on the world as we saw it then and expectations were for a slow no-growth sputtering economy.  Clearly the world has changed meaningfully over the past few weeks and our outlook has darkened.  As you’ve seen, our credit metrics this quarter were mixed:  Improvement in delinquencies, a modest increase in nonperformers and a meaningfully higher level of charge-offs. The total charge-offs exceeded our expectations largely due to a few discreet items:  A commercial real estate loan on which we foreclosed, a bankrupt retailer and a reassessment of a previously-acquired portfolio in vendor finance.  As we review the portfolio in light of the current and now anticipated economic downturn, we believe our full year 2008 commercial finance charge-offs will be in the range of 80 to 85 basis points, and on a preliminary basis we estimate that 2009 will be 30 to 40 basis points higher than this year’s total. We have and we will continue to tighten underwriting standards and scrutinize the portfolio intensively remaining proactive in identifying and resolving problems. Now let’s talk about strategy for a minute and get away from tactics.  Strategically I have been focused on a long-term solution to our funding model and how to make deposits a more significant component of our future mix.  We continue to make good progress with CIT Bank both raising deposits and underwriting new loans.  CIT Bank originated over $600 million of new loans during the third quarter and we began raising term deposits again in August.  About $800 million have been issued so far with average maturities of well over a year at an average cost of under 4%. We recognize however that our Utah bank is not sufficient to achieve our long-term goals.  As I indicated in September we are exploring a variety of options that would allow us to expand our deposit-taking capabilities, particularly in light of the government’s actions over the last several weeks and the last several days. In fact anything that improves liquidity in the system and the functioning of the capital markets is good for CIT.  So we expect to see ancillary benefits from these recent actions.  In addition we are currently reviewing how the CIT Bank as an FDIC-insured institution can directly benefit from the recently announced programs.  More to come on all fronts on this topic. It is disappointing to me that despite all the hard work of our people we were unable to report a profit this quarter as our core commercial earnings were largely erased by an accounting charge, goodwill impairment on vendor, losses in our liquidating consumer business, higher funding costs for government-guaranteed student loans and credit costs for the private loan book. As Alex will describe in more detail, we had continued good performance in trade finance and transportation finance.  Corporate finance while profitable experienced both higher credit costs and a decline in fees.  As we’ve stated vendor finance continues to underperform as we restructure that business. When I look back at the third quarter, the past three months, I am proud of how much the team here has accomplished.  We sold home lending.  We successfully completed numerous financings.  We began the restructuring of vendor finance.  We made significant progress on expense initiatives and headcount reduction.  Against this backdrop we kept our customers front and center, our employees engaged and our eye on preserving franchise value. Now I want to turn it over to Alex.
Alexander T. Mason: I’ve been in finance and banking my entire career and it won’t surprise you that this is the most substantial financial market crisis I have seen.  The credit markets are seized up, employment continues to rise and the economy is clearly in a recession, the extent at which no one at this point can accurately predict. The impact on our business has been noticeable.  What I would like to do is provide an update on each of our commercial franchises against this increasingly challenging market backdrop.  Let me say upfront that on the whole our commercial business has shown tremendous resiliency in a tough environment. We have two businesses as Jeff said that continued to excel this quarter:  Transportation and trade finance; one business, corporate finance, that performed admirably despite being severely hampered by market conditions; and a fourth business in vendor where we have set in motion an aggressive action plan to return this valuable franchise to appropriate levels of profitability. Let’s start with vendor as turning this franchise around is at the top of my priorities.  Since my arrival three months ago I have spent quite a bit of my time meeting with business leaders and conducting a thorough review of this segment.  My immediate impression is that this is a valuable franchise and it benefits from great relationships with some of the leading global companies around the world.  However we obviously have challenges to overcome. Our plan to improve vendor finance is multi-faceted and will occur in phases.  The first phase, which I just described, is completed and we believe we have identified the primary reasons why vendor is underperforming.  The next phase involves acting decisively and aggressively in tackling our challenges and I’ll expand on our action plan in a minute.  The final phase is to restore the acceptable returns that this business has historically generated.  So let’s get into specifics. First, the organizational structure of vendor was not conducive to taking quick and decisive action.  During the quarter we reorganized the segment moving from co-heads to one global head while significantly streamlining the reporting structure.  This better aligns us with our vendor partners’ coverage models while at the same time improving the decision-making cycle time and importantly management accountability.  These changes will enable us to quickly respond to customer opportunities and needs and market shifts around the globe. Second, we have implemented a cost reduction program across the segment to right size the business and set it up for enhanced profitability in 2009 even if the current market environment extends into next year.  In total we should realize almost $40 million of annualized savings as we move forward. Next we have re-prioritized use of capital to make it available strictly to strategic customers where we provide high value-added service.  Simultaneously we are continuing efforts to improve pricing.  Where it involves revisiting established pricing arrangements with our large long-standing vendor relationships, this may take a little bit of time.  In instances where we use rate cards or price on a deal-by-deal basis, we are able to move more quickly to effect pricing changes.  In all cases we are acting aggressively to get our pricing structure to more accurately reflect the changing market conditions. Let me be clear.  We are focused on risk adjusted return on capital and thus we are willing to forego originations if our desired pricing is not there. Fourth, the traditional business model which relied on an integrated capital market strategy including the use of securitizations has obviously been severely hampered.  As we go forward we are not relying on off-balance sheet securitizations and we are exploring alternative financing options in virtually every geography to replace that component of our funding strategy. Additionally given the continued global economic pressures and tight liquidity markets, during the quarter we aligned our approach with respect to remediating and collecting on certain acquired accounts with our core portfolio operating practices.  This resulted in charging off $13 million of receivables in the quarter.  We continue to evaluate the portfolio for similar actions but would expect any further charge-offs in Q4 to be of significantly lesser magnitude. Finally, as has already been noted, we evaluated and subsequently wrote off the entire goodwill and the majority of our intangibles allocated to this segment.  Joe will expand on that in a moment. Collectively these assertive actions are designed to bring vendor’s profitability back to appropriate levels for 2009. Next let me move to the corporate finance segment which has seen significant impact from the difficult market conditions.  Secondary market pricing has been under extreme pressure of late as loans are being sold often indiscriminately to raise liquidity.  Meanwhile the syndication market is virtually nonexistent as the low prices in the secondary market are making the relative value of doing a new transaction with potential lenders that much more difficult. The combined effect has produced major diminution of revenue from both those channels which have traditionally been strong contributors to non-spread revenue.  For reference, last year in Q3 revenue from sales and syndication activity totaled nearly $30 million and the year prior was almost $90 million. Please understand that opportunities to originate new loans at attractive prices with strong covenant packages are plenty but due to size most deals require more than one lender to show up at closing.  As the market has tightened, many middle market participants are scaling back origination volume to preserve liquidity and the syndicates or clubs are simply harder to form.  In the instances where we are originating, we are partnering with other high-quality lenders to provide strategic capital to our very best clients with a concerted effort to originate through CIT Bank. Indeed in the third quarter, over 40% of our corporate finance volume was originated through the CIT Bank.  In Q4 I would expect overall new business levels to come down and originations through CIT Bank to increase. On the credit side we saw losses increase by 30 basis points with roughly 23 basis points of the impact coming from one commercial real estate account that was foreclosed in the quarter.  While we have still yet to see any sustained or systemic losses in any given sub-segment, we expect credit trends will likely continue to be pressured. Next let me focus on trade finance which remains a steady performer generating a 14% ROE this quarter.  Volumes were up mostly due to seasonal factors which in turn drove higher commissions.  As expected credit costs rose to 180 basis points as the retail sector continues to soften.  Most of the losses this past quarter relate to one large bankrupt retailer.  Most noteworthy however is the excellent job our credit team has done dodging so many of the recent stream of retail failures. I must tell you that since my arrival I have been tremendously impressed with the ability of this management team to anticipate problems and to manage exposures accordingly.  Under normal circumstances we would be significantly ramping up volumes on our ability to charge higher commissions at this point in the credit cycle.  But we are in anything but normal times.  So going forward, expect us to scale back factoring volumes as we manage risks aggressively by not taking on certain retail accounts. Finally, on to transportation finance.  Utilization for both air and rail remain solid, and the segment as a whole returned 16%. In rail, utilization remained high at 96%.  Rail generally benefits from higher fuel prices compared to trucking given its efficiency.  However, we saw the higher demand in Q3 being offset by overall reduction in freight transportation as a result of the softening economy.  We will continue to monitor this dynamic as we move forward but in general we believe that our best-in-class management team along with our young efficient and diverse fleet positions us well to weather a prolonged or significant downturn. In air, demand for more fuel-efficient types of aircraft remains strong in the face of increasing fuel prices.  At the same time the wave of recent bankruptcies is causing a dampening effect on lease rates.  From a credit perspective we have side stepped most of these airlines, and where we did have exposure we moved quickly to redeploy those aircraft elsewhere.  All-in-all air remains almost fully utilized and 19 of the 21 planes being delivered through 2009 have been placed, while two of the planes that were scheduled to be delivered to a bankrupt carrier are very close to being redeployed. Before we move on, let me say that our commercial franchises continue to have tremendous value.  However we are in unprecedented times and we will have to make some tough decisions.  The common theme you may have picked up from my remarks is that liquidity is currently our number one priority or job one as I have described it before. To that end we will continue to spend considerable time reviewing all facets of our commercial businesses and will be very strategic around where and when to use capital with the likelihood that we will effectively pause or exit certain businesses and product offerings that seem unlikely to provide adequate returns during this period in the economic cycle. With that I will turn the call over to Joe.
Joseph M. Leone: We appreciate you spending some time with us on this call this morning.  Clearly the market’s distressed.  I don’t have to tell you that.  While our securities and our core profit drivers have been pressured, our focus has been keen on liquidity, continued client service and our business model transformation. The company overall and my finance team specifically are working on the imperative that maximizing liquidity is priority one.  I’m proud of what we’ve accomplished.  The third quarter was very busy with additional successes.  Hopefully you find the frequent liquidity updates we have been providing you useful. Jeff highlighted many of the major accomplishments this quarter on liquidity.  Let me add some color. First, the Goldman facility.  We started funding under the facility as planned in Q3 and have received or drawn about $1.3 billion of the $3 billion of the committed facility.  Fundings to date have been backed by corporate finance assets, essentially middle market loans, from our existing portfolio.  Clearly we want to utilize the entire facility by year end, and since many of you know draws under the facility are priced at LIBOR flat and we pay the 285 basis point commitment fee whether we use the facility or not, our current thinking is to fund a combination of corporate, vendor and transportation finance assets through the facility in the fourth quarter. The Wells Fargo facility we’re working on is a five-year $500 million secured facility that we will use to fund middle market loans.  The loans can either be from our current portfolio or new originations.  We still need to complete the documentation, Wells is going through due diligence, and we need to get through certain closing conditions, and we want to start this funding as I said in the fourth quarter. With respect to aircraft, we have been funding new aircraft deliveries through secured facilities; Jeff mentioned that; about $400 million to date and we expect to continue to finance new aircraft deliveries next year in the same fashion as the 2009 delivery package we have are Airbus aircraft.  Funding under these facilities is long term, about 12 years, at relatively attractive pricing. We sold $400 million of aircraft in the quarter and that brought our sales to over $1 billion.  That was the goal we had set in the beginning of the year.  We’d like to continue to make some sales into the fourth quarter.  Third quarter gains however were muted somewhat as we had a high oil cost in the summer months, if you can remember that.  I do.  There have been threats of additional supply but as Alex mentioned the demand for our fleet with all planes flying is very solid. Deposits.  We all spent some part of our remarks on and it’s been a big focus of ours and yours.  As Jeff mentioned, we raised $800 million in the quarter and I want to remind you we did not start posting rates until mid-August as the bank had a lot of excess cash, over $1 billion in July.  The total deposits in the bank grew this quarter and the vast majority of that is time deposits. We have gotten questions about the stickiness of the deposits, and I’ll tell you that based upon the deposit agreements which restrict withdrawals to certain conditions, we only had about $1 million of early redemptions so far in 2008.  Looking forward we would like to grow the bank deposits by about $500 million per quarter as we finance commercial loans to middle market customers in that institution. Our secured conduit facilities, Jeff mentioned we renewed.  We had $6 billion of conduits expiring in the third quarter and we were successful in refinancing the facilities which fund both student loans and equipment loans.  General terms including pricing and advance rates reflect the current market.  That’s code for they were more expensive.  We do have another $2.8 billion of facilities expiring in the fourth quarter and these facilities mainly finance trade finance, receivables and equipment. Our current thinking on this is to work and refinance the trade finance facility, and we have begun preliminary discussions on that.  We are evaluating the need on the equipment conduit given our recent renewal success and our plan for reduced originations in that segment. We did manage the balance sheet down with managed assets down $500 million in the quarter despite our growth in factoring, which is seasonal.  We usually get those pay-downs in December and January during the holiday season.  In addition to the aircraft sales which I mentioned were $400 million, we sold $200 million of middle market loans and volumes decreased $1 billion sequentially. Very topical.  Credit commitment.  At September 30 when we report our Q, you will see we have about $8.5 billion of total unfunded commitments.  About $1 billion of that relates to vendor finance, which are consumer oriented and require an asset to be purchased in order to access the line.  Of the remaining $7.5 billion or so we estimate roughly $2+ billion cannot be drawn for reasons that relate to the contract and for collateral shortfall reasons.  So the net at-risk figure is closer to $5.5 billion.  Of that $5.5 billion about half is asset or equipment based and the balance is cash flow, about $2.7 billion of that is cash flow. What are we doing about these commitments?  First, we have been monitoring commitment and draw activity closely.  That should not be a surprise.  We have seen a pick up but it’s been slight in utilization.  Our overall utilization is about 75%.  We have not seen a large amount of unusual draws but we have seen some activity.  That said our liquidity forecast does assume further increases in line utilization based upon our account-by-account analysis of the probability of draw, which we continue to refine every day based on market conditions and our experience. Cash including what we had in Utah bank decreased from $7.4 billion to $5.5 billion.  Remember we paid down the bank lines early and we paid down about $1.5 billion of unsecured debt and had about $1 billion of outflows related to securitization.  Some of that relates to higher advance rates on the new facilities and some of that relates to cash we will get back in the fourth quarter.  The inflows relate to home lending, $1.5 billion, and Goldman about $1.3 billion. That should give you the picture of how the quarter in liquidity sized up.  How about looking forward?  I know that’s on your mind. We estimate needs of roughly $13 billion to meet our maturing obligations over the next 12 months.  That’s a little over $9 billion of unsecured debt, $2 billion of bank lines which are due in April, and about $1.5 billion of manufacturer purchase commitments in our rail and aerospace segments.  While we’d like to get back to the unsecured markets along with a lot of other companies, obviously our 12 month liquidity plan assumes we do not have such access.  So let me walk you through in general terms what our plan is. We had about $4.5 billion of cash at the end of September, we have an additional $1.7 billion of capacity under the Goldman facility, and we’re working on finalizing the Wells facility for $500 million.  We also expect to do $1.5 billion to $2.5 billion in additional secured or securitization financing.  We expect the $1.5 billion in aircraft purchases to be financed by the ECA facility. And finally we see portfolio decline particularly our non-bank portfolio by $5+ billion as we book loans through the Utah bank, we reduce non-bank origination volumes including certain asset sales.  Utah bank which has over $1 billion of cash today as I said will grow about $500 million per quarter and that’s where the portfolio growth on the commercial finance side will be. Having said all that, there are other things we are actively working on.  Jeff mentioned some of them.  None of the ideas in progress are in our base funding plan.  We do anticipate continuing our opportunistic debt buy-back programs primarily in the front end of our liquidity run rate. So our liquidity objectives are clear.  Jeff mentioned we want to have enough liquidity to meet the next 12 months or more of unsecured debt obligations or debt obligations and we do that on a rolling basis.  We disclosed to you our 12 month view.  We also target maintaining a relatively robust cash position of over $3 billion as we do that. I think we’ve been successful in managing both sides of the balance sheet.  Our review of collections, disbursement and originations is stronger every day.  Our ability to uncover new sources of liquidity has been quite successful. The financial results.  Let me give you a little color on two of the unusual items that impacted the quarter. First, the goodwill and intangible charge that Alex mentioned.  We have been testing goodwill for impairment quarterly; we’ve said that to you and we put it in our disclosures; primarily given the fact that our stock has been trading below book value.  The tests are calculated at the segment level and it compares book value including goodwill and equity to estimated fair values based upon market data.  We’ve looked at discounted cash flows, tier earnings multiples and price-to-book ratios. Given the expectation for lower vendor earnings performance as we restructure it and the general reduction in market valuations for financials, the analysis indicated that the vendor finance goodwill and most of the related intangibles were impaired. Secondly, we did have and did report a reserve of $18 million related to our investment of some of our overnight money in the reserve primary money market fund, which as you know broke the buck in late September in the wake of Lehman’s bankruptcy.  We put our redemption request and received confirmation at a 97% payout.  Thus, the 3% charge this quarter.  But we have not received a distribution and we closely monitor the situation. While on Lehman, I should also give you our remaining exposure.  Our remaining exposure is essentially relating to derivative transactions in which we were in the money.  We had a receivable.  The derivatives were terminated on Lehman’s filing and CIT now has a $33 million claim against one of the bankrupt subsidiaries.  Right now it’s early to predict the specific outcome. In terms of financial metrics, margins went down about 14 basis points sequentially.  The majority came from higher cost of funds.  For example, $1.5 billion of unsecured debt that matured in the quarter had a cost of LIBOR + 25.  Those were the good old days about a year ago.  $1.3 billion of advances refinanced them under the Goldman facility at LIBOR + 285.  That’s the market we’re in today. Also contributing to the margin decline were increased costs to fund the conduit receivables, somewhat higher nonaccruals and slightly lower rentals in rail.  As we look forward we see some headwind as debt is repriced in the current environment.  Specifically we’ll ramp up the Goldman facility that we mentioned and the conduits will be in place for the fourth quarter. On the flip side, and you see this in the corporate finance results, pricing on new originations particularly in the lending businesses continues to increase and the funding of new loans with deposits will also allow us to realize that funding benefit. Fees and other income impacted by the market activity.  We did sell or syndicate $400 million of commercial loans in the quarter.  We sold the aircraft at a slight gain.  Assets held for sale, a metric that many of you have been following and we’ve been on for a year, has declined again to $600 million from the $1 billion at June so the pipeline is clearing.  Factoring commissions were up seasonally but not to last year’s levels as Alex discussed. Regarding credit quality, I think Jeff and Alex covered most of that.  I was happy to see a decrease in our 60+ delinquency.  That did benefit from a large energy account coming current.  I think we said we predicted that when we reported our second quarter results, and the foreclosure on the real estate property as that asset gets moved to other assets.  Nonperforming assets increased only slightly. Based on that and our loan loss reserve modeling measures, we increased the reserves by $75 million in the quarter, $52 million in commercial and $20+ million in consumer.  On a year-to-date basis our charge-offs were about 75 basis points with 70 basis points or so in the commercial book. On operating expenses, Jeff mentioned we made progress.  I was happy to see the progress.  We saw the salaries and benefits line start to come down based upon our actions, and year-to-date we’re down over 10%.  We have additional quarterly run rate savings of about $10 million to realize based upon this quarter’s restructuring but when you put it all together with the restructuring initiatives we’ve put in place, other cost-cutting measures relative to G&A, we are targeting to deliver over $200 million of annualized run rate savings.  That is good.  It’s necessary as we continue to reduce expenses to levels appropriate in light of the new environment we all operate in. On taxes, a confusing quarter between continuing discontinued operations and the fact that goodwill is generally not tax deductible.  We had an effective tax benefit of about 40% on continuing operations and 90% on discontinued operations as we still have not realized or see clear our ability to realize in the near term the home lending NOL.  We think that will come in, not this year but in later reporting periods. In terms of looking forward we don’t see a lot of tax expense to book in the fourth quarter depending on where we raise the earnings or where the earnings are generated, and at this time we expect our effective tax rate going forward on continuing operations to be in the 20% area longer term. Finally let me close with a few words on balance sheet and ratings. First, ratings.  The dialogue with the agencies is very active including treasury discussions with the agencies and senior management meetings.  Three of the four agencies rate us A- with the fourth Moody’s rating us at BBB+.  Moody’s today placed their ratings on negative watch given the continued credit market difficulties.  We think our strategy is designed to navigate through this uncertain period which we hope will favorably address forward-looking concerns that the agencies may have. Additionally, Jeff went through this but I think it’s important to note.  Our balance sheet remains strong, we have a strong cash position, we increased loss reserves, our capital ratios were not impacted by the goodwill write-down, our capitalization is almost at 9.2%, and we will continue to build the balance sheet strength as we reduce asset levels and return to profitability. With that, operator we turn it over to you for questions.
Operator: (Operator Instructions)  Our first question comes from Bruce W. Harting - Barclays.
Bruce W. Harting: Joe, can you talk about the consumer segment losses and the private loan portfolio and what you expect to develop in that portfolio in coming quarters, and also a little more commentary on margin outlook overlaid on top of the ratings outlook and the way the CDS are trading and the other plans you have for liquidity in the next few quarters?
Joseph M. Leone: First of all, I won’t remember all of your question but just remind me of the pieces or Ken will remind me of the pieces.  On the consumer side, the margins have been under pressure because of the cost of financing the student loan book primarily.  Given that, we expect the pressure to continue given the cost of the conduits.  Generally the loss in the quarter was generated by reserve building.  Charge-offs were about $30 million in the quarter, a little less than 1%, but we built the reserves in that book by some $30 million.  So that’s what caused essentially the loss of about $40 million was the provisioning of $60+ million.  That’s number one. Number two, margin outlook.  In terms of margin outlook what we’d like to do is figure out a cheaper way to finance these student loans because that’s what’s going to hurt us in the fourth quarter as this funding facility we’ve recently put in place is much more expensive than the one we had in place a year or so ago.  That’s where we think a lot of the margin pressure will come from. On the commercial book side, lease rates in planes and trains seem to be flattening out.   Let’s say we saw some dilution in Q3 in rail.  On the lending side, commercial finance rates are as high as they’ve ever been LIBOR + 600 or more and corporate finance had better margins in the quarter overall.  When we put that together given the funding costs that we’re looking at, it’s basically LIBOR + 285. I would expect the margin to be under some pressure on the consumer side and some slight pressure on the commercial side. In terms of ratings, clearly our CDS is not reflective of our ratings level.  I can’t explain the CDS market to you.  I think others will have to do that in America because I don’t understand it.  I think on ratings we are happy that we have a good dialogue with the agencies, we’re happy with our A ratings from three, we’re disappointed with our BBB rating from Moody’s, BAA+, I may have misstated that before.  We’re disappointed at that and what we think we have to do is prove that our liquidity run rate continues to be extended and that we can make better utilization of the bank strategy that Jeff described. Hopefully I got that all Bruce.
Operator: Our next question comes from Sameer Gokhale - Keefe, Bruyette & Woods.
Sameer Gokhale: Jeff, I think you talked about potentially trying to become direct beneficiaries of some of the government actions.  I’m assuming that means trying to in some way, shape or form becoming a bank holding company or a financial holding company.  Maybe you can refresh my memory but it seems like when [inaudible] Bank owned a percentage of CIT this may have been an issue back then as to how they could retain a bank holding company status depending on some of CIT’s activities.  If you can just refresh us whether those rules have eased, whether that’s still true, if you’re planning to become a bank holding company or financial holding company? And then just a quick question on pension liabilities for Joe.  It seems like you have a net pension liability maybe about $150 million.   How should we think about that within the context of some of the changes to discount rates in discussions with your actuaries?  Just some thoughts on that would be helpful.
Jeffrey M. Peek: I’ll take the first part.  We are obsessively interested in the new government programs that have been put forth in the last two or three days.  We’re spending a fair amount of time analyzing that to see exactly how that impacts our current position and where we could move from that.  As we said back at the beginning of September, we really feel like our funding model, obviously we’ve got to move towards less reliance on capital markets, more reliance on other types of financing including deposits, so what’s happened in the last week or so clearly facilitates that kind of analysis and that kind of thought. To your specific question, as we look at that three of our four commercial finance units could be accommodated within the depository, within the bank, and the fourth which would probably be our operating lease business, transportation finance, certainly could be eligible to be a nonbank subsidiary financed off the corporate balance sheet or the holding company. I hope that’s helpful, but as we say the events of the last three or four days we think underline some of the initiative that we talked about back in September and certainly accelerates our interest in exploring all aspects of that. I’ll pass it to Joe for the pension accounting question.
Joseph M. Leone: Just to add to what Jeff said, I was here under the Dai-Ichi ownership period and I’m trying to scratch my head and remember what the constraints were.  I don’t remember any specific business constraints that were problematical.  I clearly remember a lot more financial reporting and clearly remember that acquisitions and regulatory approval of acquisitions was required.  I don’t remember any specific business restrictions.  Clearly leasing as Jeff said and short-term leasing are activities prohibited or not as positively viewed by the regulators but as Jeff said we would handle that through a nonbank subsidiary at the holding company level. Somebody reminded me that the other thing that we had is in rail.  We used third parties for maintenance and that was helpful from a regulatory point of view so that we were not in the business of washing and fixing and scrubbing. In terms of pension, I can answer your question generally.  I think that’s a great question for all Corporate America in terms of what’s going to happen in 2009.  Clearly the performance of the plan has been negative in 2008.  We’ve got a fairly robust process.  Our pension plan has generally outperformed the indices.  Having said that, we provided a little bit more expense in the third quarter as a result.  We are anticipating as we look at our ’09 plan that the expense rates would be higher but funding has generally been very limited over the last several years; additional funding into the pension plan. I think what happens with the actuaries in the plan is we meet with the actuaries at the end of the year and we get the assumptions for the coming year, I think I’ll have a much more substantive deeper answer for you at the next call.
Operator: Your next question comes from David Hochstim – Buckingham Research Group.
David Hochstim: In your review of what the FDIC is offering under the temporary liquidity guarantee program, can you tell us at this point if you became a financial holding company or a bank holding company if the existing debt at the holding company that is due by June 30th would be eligible for the guarantee when it’s reissued?
Jeffrey M. Peek: We’re doing some analysis on that.  We obviously have an FDIC-insured bank charter, but we are not a bank holding company at this point nor a financial holding company.  Our analysis is what would be the route to that if we wanted to go that route.  We’re spending a lot of time on that and have been to Washington to talk to people and that type of thing.
David Hochstim: If you did make that change, would the debt that was in existence at September 30 qualify under the plan do you think?
Jeffrey M. Peek: We would hope so.
David Hochstim: Maybe just a follow up to what Joe was talking about with the ratings.  Could you just review with us what impact there is on existing debt or secured financings from rate further downgrades?
Joseph M. Leone: Generally the ratings triggers that we do have we laid to below investment grade ratings, and on our securitization the one that comes to mind is if we have a below investment grade rating, there is a servicing transfer from CIT to a third party service.  There are not calls or money that we get put back to us generally in any of the debt indentures based upon ratings triggers.
David Hochstim: On debt repurchases, is there some practical limit?  It seems if you’re buying debt at a big discount, you’re actually generating gains which builds capital and you’re reducing your liabilities?  Wouldn’t you want to be doing that more and more?
Jeffrey M. Peek: Yes.  It’s really a balance between near-term liquidity and how far out we go in terms of repurchasing the debt.  So far we’ve restricted ourselves pretty much to six to 12 months, probably closer to six months, in advance.  We haven’t gone out in the future any farther than six months in terms of repurchasing but you’ll see us back in the market repurchasing debt here quite quickly now that we’re through our blackout period.
Operator: Our next question comes from Christopher Brendler - Stifel Nicolaus & Company.
Christopher Brendler: Jeff, when you raised equity back in April I think you mentioned that one of the rationales for doing that was to take the real downside risk off the table, the potential bankruptcy.  Since then you’ve done the Goldman transaction, you’ve sold the mortgage portfolio, shrunk the balance sheet a little bit.  So you’ve made a lot of progress as you mentioned but yet the market seems to think that you haven’t made enough progress and your outlook is pretty dire.  What is the market missing about your outlook?  What is the worst case scenario for funding?  Moody’s is telling us that you’re on watch but also saying you have liquidity through 2009.  Is there a worst case scenario that we’re missing or is the market just overestimating how bad it is for you right now and it’s assuming you’ll never get back into the financing market? And one follow up, is there a potential for the Wells Fargo facility to be upsized at all?
Jeffrey M. Peek: Let me make a couple comments and then Alex, being a relative newcomer to the situation, he’s got some thoughts on this. First, on the Wells situation I think as you know we’ve had a series of transactions with Wells.  We have terrific respect for the institution.  This transaction’s a little different in its structure than the Goldman financing so we wanted really to start at $500 million and just make sure we understood exactly how it was going to work.  We’re close to finalizing the documentation so we can actually start doing the loans.  I think that would be our hope and their hope is that we can start at $500 million and maybe go a little bit higher than that. I think your more general question is what’s being missed?  I think the market doesn’t know quite how to value the bottom of the liquidity prices.  Our team I think has done, thank you for your complements, an excellent job in generating liquidity over the last six months.  I think as three of us said that’s job one, our top priority.  We’re managing for cash, not profitability unfortunately right now.  I think the market probably doesn’t see some of the alternatives as well as we do, although we have great respect for the market’s knowledge obviously. Let me just toss it to Alex.  I think he might have a view on that.
Alexander T. Mason: I do.  I think we all know that the market tends to tar all sometimes with the same brush and I think we do suffer from that at times.  There’s no question that the wholesale funding model has been under attack and it’s been that I think that has affected the brokerages most significantly.  We get mentioned in the same sentence with them quite often as the result of our wholesale funding model, but we need to remember that our model looks very different from theirs. They’re in the trading business.  They rely on overnight funding and the confidence in the markets every day to be able to stay alive.  We’ve seen that that has undone some of the most prominent brokerages in the country. Our funding model is very different.  We’re not in the markets overnight.  We’re not in the commercial paper market.  We’re not doing the same kind of overnight funding that they have had to undertake, and I think as a result our profile’s very different.  We sleep at night I think knowing that we have a 12-month runway and that we really can keep the house in order over that time period.  We remind frankly the rating agencies of that when we talk to them because even the rating agencies, as sophisticated as they are, sometimes forget that our model does look very different than others. And I would say the same thing by the way for the banks, which also do rely on the short-term markets much more than do we.
Christopher Brendler: Any comment on the regulatory relationship.  Are the FDIC and your regulator comfortable with your deposit growth?  And have you had any meaningful discussions on selling the company in light of all the pressures that are out there?
Alexander T. Mason: Let me take the first.  We’ve worked extremely closely with our regulator at our ILC in terms of mapping the growth of CIT Bank, and they are very comfortable with us.  We talk to them all the time.  We’re growing that institution very quickly but we’re growing it in a very ordered manner and we’re growing it in effect arm-in-arm with the regulators.  So I think I’m very comfortable from that perspective. Before I turn it back to Jeff on the larger question, I understand that in my remarks earlier I was heard to say that trade credit losses were at 180 basis points.  I thought I had said 108 basis points.  I apologize for any confusion I may have caused.
Jeffrey M. Peek: I’d say probably three things.  First, I think we’re very oriented towards maximizing the value for the shareholders so it’s certainly not a live free or die kind of attitude here.  We’re very practical about that type of thing. I think one of the reasons that we come to work every day and struggle on the liquidity and try to build it up is on the asset side of our business we’ve seen so many competitors falling by the wayside that to the extent that we are successful in getting through these difficult times, we think there’s terrific opportunity in the middle market going forward.  We feel like many of our competitors won’t be there and the ones that are will have to be probably more targeted in their approach, and at the large universal banks we think middle market probably won’t be where they put all their priorities. We feel like there is upside at the end of this and we can be a player there.  I think in this current environment you’re really not seeing whole company acquisitions except on a supervisory assisted basis.  Even though stock prices are at an almost generational low, you’re not opening up the paper on Monday and seeing people buying whole companies except under duress.  I think if these government actions have their impact rapidly or more slowly, you’ll see a turn quickly and I think you’ll see consolidation and one way or another I think we’ll be a player in that.
Operator: Our next question comes from Howard Shapiro - Fox-Pitt Kelton.
Howard Shapiro: Is there a timeframe for returning the vendor business to profitability?
Alexander T. Mason: I think I indicated in my remarks earlier that we’re looking for that business to be substantially more profitable in 2009, and I think we’ll make progress to that effect in the fourth quarter.
Operator: Our next question comes from Matthew Burnell - Wachovia.
Matthew Burnell: Joe, I appreciate the additional information in terms of liquidity you provided both in the press release and on the call.  Most of my questions have been asked and answered, but I guess I have one specific question and one bigger picture question.  Can you give us an update on how you’re thinking about the fixed charge coverage ratio going forward?  You were just over 1.1 times at the end of the second quarter.  Obviously this quarter’s loss would appear to put you under the 1.1 times minimum.  Could you update us on your thoughts on that? And maybe a question for Jeff in a bigger picture sense, you just mentioned industry consolidation.  Clearly the banking industry is going to be consolidating.  Can you give us your thoughts as to how you think about competing with those admittedly larger but better capitalized institutions going forward assuming you can get through 2009 with the funding plan you’ve got in place?
Joseph M. Leone: I’ll start with the fixed charge coverage.  Good question Matt.  Clearly in the third quarter we did not make the 1.1 times fixed charge coverage ratio.  I would remind you it’s a rolling four-quarter calculation, not a one-quarter calculation.  That’s number one. Number two, built into it was a corrective mechanism so that we could pay the dividends on the preferred and that requires us to issue equity to do that.  I think some of the analysts have picked up the fact or have read into it that we don’t’ have the cash to pay the dividend.  Obviously we have the cash and the liquidity. Our thinking on that is that we want to pay our obligations.  We want to pay all of our obligations and paying the preferred shareholders’ debt, hybrid shareholders their return has been an important objective of ours.  We thought that was the greater good to keep all our securities in the market current.  We would continue to look at the issue that way.  Obviously that ends up being a Board decision, not a management decision but just a management recommendation.
Jeffrey M. Peek: We’re running over time here a little bit so I’ll just be brief in my response.  I think we have an underdog mentality here at CIT.  For the last 50 if not 70 years we’ve been competing against the banks and the bigger banks.  Cost of funds is part of the equation in terms of how you get business.  Relationships, speed of turnaround, personal knowledge of people are also quite important.  Right now we’re turning business away because we’re one of the last people still in the market place.  If there were ever a time when just being bigger was going to dominate how you get business, it’d be in a time like this and as I said we have more business than we can write at this point based on liquidity. I think it’s our focus; it’s the only business we have; it’s not one of seven or eight different delicatessens that we’re running in a financial services supermarket.  We can talk offline more but I think it’s always been that way.  As far back as I ever heard of CIT it was always, “Can they survive against the banks?” I think we have time for one more.  I know it’s a busy morning for all of you.
Operator: Our next question comes from Moshe A. Orenbuch - Credit Suisse.
Moshe A. Orenbuch: You had mentioned the tax losses on the mortgage portfolio not yet being able to be realized.  What factors would need to have to happen for them to be realized?  Is it just generating taxable income?  Is there a timeframe over which you might see that and how large are they?
Joseph M. Leone: We need to generate taxable income in the right jurisdiction as well and that jurisdiction is the US because that’s where the mortgage losses were.  As we return vendor and corporate finance to profitability, that sort of deferred or valuation reserve that we had set up that significant would begin to start being able to be recognized.  Hopefully with some improvement in the environment in ’09 and some improvement in our vendor finance restructure, we should be able to hopefully start to get at that at some point in ’09 or whenever we turn to profitability in the US.  It’s not profitability overall; it’s profitability in the US.  For example, the aerospace portfolio is very profitable but that doesn’t help us.
Operator: There are no further questions.
Jeffrey M. Peek: I just want to thank you all for joining us again this morning.  These are no doubt extremely challenging times and we continue to work for the benefit of all our investors and stakeholders.